Operator: Welcome to the Voyager Technologies, Inc. Fourth Quarter and Full Year 2025 Financial Results Conference Call. At this time, all participants have been placed on a listen-only mode, and the floor will be open for your questions following the presentation. So others can hear your questions clearly, we ask that you pick up your handset for best sound quality. Lastly, if you should require operator assistance, please press 0. I would now like to turn the conference over to your first speaker today, Adi Padva, Senior Vice President, Corporate Development and Investor Relations. Mr. Padva, the floor is yours.
Adi Padva: Thank you, and good morning, everyone. I am joined today by Dylan Taylor, our Chairman and Chief Executive Officer, and Filipe de Sousa, our Chief Financial Officer. Today's call includes forward-looking statements which involve risks and uncertainties detailed in our earnings materials and SEC filings, including the risk factors section of our IPO prospectus. We undertake no obligation to update these statements. We will also discuss non-GAAP financial measures. Reconciliation of these measures is available in our earnings materials on our website. I will now turn the call over to Dylan to begin with Slide 3. Thank you, Adi, and good morning, everyone. 2025 was a fantastic year for Voyager, which was founded just six years ago.
Dylan Taylor: 2025 was the first year we operated as a public company, moving from building the platform to rapidly scaling it, and we are now well positioned to accelerate and industrialize our growth in 2026. In fact, based upon a record backlog, we are significantly raising our revenue guidance for the year and will provide more specifics on that raise in a moment. For the sixth consecutive year, we delivered growth. Our Defense and National Security segment grew significantly, up 59% year over year, driven by execution on Next Generation Interceptor and other classified programs. Our backlog increased 33% year over year, entering 2026 with $266,000,000 to support our accelerating growth. During 2025, we raised over $1,000,000,000, including executing on a successful IPO and issuing a follow-on convertible note, all strengthening our liquidity to fund innovation and strategic growth initiatives. We completed and integrated several acquisitions, expanding our capabilities to meet growing customer demand, which we expect to remain strong in today's geopolitical environment. These expanded capabilities are enabling us to advance several of our key initiatives, including Golden Dome. We established our orbital data center capabilities, launching the first space-hardened managed cloud infrastructure to the International Space Station. We enhanced our missile defense capabilities with integrated optical technology for Next Generation Interceptor and cutting-edge electric propulsion. We are enhancing space situational awareness with AI-enabled automated target recognition and intelligence analytics for space-based radar systems. Later in my remarks, I will provide more details on Estes Energetics, a significant growth opportunity for the company. Innovation is key to our strategy. Given the large opportunity set in front of us, we increased our innovation spend in 2025, which includes customer and internally funded R&D, to over 20% of revenue. Examples of the outcomes of our efforts include successful Critical Design Review of our throttable propulsion for NGI, new products such as AI-enabled edge computing, patented extraterrestrial manufacturing method for high-performance optical communications, and patented dust-repellent coating technology that landed on the moon aboard Firefly's Blue Ghost lander. We expect to accelerate our innovation spend going forward to strengthen our competitive moats and capitalize on our growing addressable markets. We are also expanding our innovation ecosystem through strategic partnerships. During the year, we formed new partnerships; VISTA, or Voyager Institute for Space Technology and Advancement, at the Ohio State campus, is a first-of-its-kind U.S. campus purpose-built to accelerate the commercial space economy within space research, manufacturing, and services by bringing together aerospace, defense, and commercial industries, academia, and government. We recently announced partnerships with the University of North Dakota and the University of Connecticut and anticipate expanding this ecosystem to other innovative campuses domestically and internationally. In addition to investing in technology and partnerships, we also continue to invest in our people. We added Paul Tildman as Chief Technology Officer. He joined us from Androle and was previously at DARPA and Microsoft. John Baum, as Chief Marketing Officer, a former fighter pilot who joined us after a successful career at the Department of War and was cofounder of Draken, and most recently, Shoshana Moody as Chief Administrative Officer with experience scaling emerging businesses such as Instacart and Lyft. Moving on to Starlab, a transformational growth engine for Voyager. We view Starlab as a generational investment opportunity built as an infrastructure-like platform with the potential to deliver attractive and enduring returns over multiple decades. During 2025, Starlab accomplished meaningful milestones, ending the year by completing our commercial Critical Design Review, a major technical milestone with NASA that validates the maturity of the program and clears the path to full-scale construction of the station. To date, we have completed 31 program milestones, generating $183,000,000 of cash receipts from NASA, which underscores both performance and disciplined execution. Many investors attended our first Investor Day in Houston in November, where they also toured the full-scale, high-fidelity Starlab mock-up at NASA's Johnson Space Center. It is the only commercial space station mock-up in the facility, right next to the ISS mock-up where NASA trains astronauts. During the year, Starlab secured meaningful capital from marquee investors and partners, including Janus Henderson, Sumitomo, Mitsubishi, Seven Grand Managers, and Space Applications Services, strengthening Starlab's balance sheet and reinforcing external confidence in the platform. Finally, we are seeing strong customer demand, and I am excited to share with you that Starlab's commercial payload capacity is fully reserved, providing early visibility into the future utilization and revenue potential. To summarize, in 2025, we strengthened the foundation of our growth engines in national security and commercial space, leveraging our disruptive innovation platform and multiuse technology stack. Acquisitions will continue to be an integral part of our growth strategy, and our strong financial position supports that effort. Now I will review our most recent acquisition, Estes Energetics, now Voyager Energetics, on Slide 4. Voyager Energetics strengthens the foundational layer of our missile defense and national security platform. Energetics, propulsion, and critical resources are essential to interceptors, solid rocket motors, and propulsion architectures that sit at the heart of modern missile defense and are highly applicable to Golden Dome. In an environment where supply chain sovereignty and domestic manufacturing capacity are strategic imperatives, control over these inputs directly impacts program execution, schedule readiness, and mission readiness. Estes converts a historically vulnerable segment of the value chain into a strategic advantage. Specifically, it provides the U.S. with controlled onshore manufacturing and surge capacity aligned with the Department of War's priorities at a time when freedom of maneuver and deterrence are increasingly important. Voyager Energetics also deepens our vertical integration across propulsion and interceptor architectures, increasing the portion of high-value content we control within missile defense systems. As programs such as Next Generation Interceptor and other advanced missile defense initiatives transition from development to production, this integration enhances throughput, improves margin durability, and reinforces customer confidence in our ability to deliver at speed and at scale. This acquisition is a great example of how we intentionally build Voyager, acquiring durable infrastructure-level capabilities that strengthen the industrial base, align tightly with customer priorities, and compound long-term returns for shareholders. Turning to Slide 5, I will now highlight our priorities for 2026. Our top priority for the year is to accelerate growth. First, as I mentioned previously, we are meaningfully raising our 2026 revenue guidance initially provided at our Investor Day in November to a range of $225,000,000 to $255,000,000, representing growth of 35% to 53% year over year. This acceleration relative to last year and long-term CAGR is driven by demand for our Defense and National Security technologies. Programs aligned with Golden Dome are expanding in scope and urgency. Signet, now bolstered with new AI capabilities, is also seeing higher customer interest, and importantly, acquisitions are adding to our growth momentum. Our next priority is building a sustainable platform for scaled growth. We recently broke ground on the Voyager American Defense Complex in Colorado, a major expansion advancing the Pentagon's urgent call for industry to accelerate domestic missile defense and tech munition supply. The Voyager American Defense Complex will be 150,000 feet for advanced manufacturing, operations, and testing, and designed to support high-volume production of military-grade components, propulsion systems, and energetics used to address the increasing demand from the Department of War. Next, we are making deliberate investments in technology innovation to meet customer demand. Our increased IRAD spend is focused on strategic campaigns directly aligned to customer priorities such as Golden Dome, mission-critical advanced electronics, dynamic space operations such as propulsion and navigation, and also AI and autonomous industrialization to shorten lead times from design to output. Finally, 2026 will be a pivotal year for Starlab as we transition to full-scale procurement and development. We anticipate NASA will soon release the RFP for the second phase of the Commercial LEO Development Program, or CLD, with a decision later in the year. We are highly confident in the modernized, cost-efficient, and commercially scalable solution that Starlab is delivering to NASA and other key stakeholders. The architecture is designed to provide continuous U.S. presence in low Earth orbit while enabling a broader transition to commercially led operations. As the program advances, we are expanding Starlab's commercial ecosystem, building durable partnerships across mission logistics, life sciences, biopharma, advanced materials, and other high-growth verticals. The approach strengthens demand visibility and reinforces Starlab's role as an ecosystem, not a single-use platform. The early demand signals of Starlab commercial capacity being fully reserved are reinforcing our confidence. So to recap, we closed 2025 very strongly despite a prolonged government shutdown, and our growth is accelerating into 2026, giving us the confidence to raise our full-year revenue guidance. We have tremendous opportunities to capture additional market share, and we will continue to fund innovation and IRAD to fully capitalize on these opportunities. With that, I will turn the call over to Filipe to walk through the financials in more detail.
Filipe de Sousa: Thanks, Dylan. Turning to Slide 6, I will begin with the fourth quarter results. Net sales increased 24% year over year, driven by strong execution in our Defense and National Security segment. Growth was driven by continued progress on the Next Generation Interceptor program, classified programs, as well as contributions from newly acquired businesses. We ended the year with total backlog of $266,000,000, a 41% sequential increase from last quarter. This step-up reflects new program awards, expanding scope on existing programs, and contributions from acquired businesses, all of which are significantly improving our revenue visibility and accelerating growth in 2026. Adjusted EBITDA for the fourth quarter was a loss of $21,800,000 compared to a loss of $6,300,000 last year. The year-over-year change reflects investments in innovation, talent acquisition, and corporate infrastructure build. These investments are intentional and placed ahead of growth, establishing the operational foundation to ensure we scale efficiently. On the bottom line, adjusted EPS was a loss of $0.37. This compared to a loss of $2.90 in the prior year, with comparability reflecting a higher share count following our IPO. Turning to Slide 7, I will discuss segment performance for the fourth quarter. Defense and National Security net sales increased 63% year over year, driven by execution on Next Generation Interceptor, classified programs, as well as contributions from acquired businesses. Segment adjusted EBITDA was a loss of $4,500,000, reflecting increased R&D and talent investments. Space Solutions net sales declined 29% year over year, entirely due to the anticipated conclusion of a multiyear NASA services contract. Segment adjusted EBITDA improved to $2,300,000 compared to $1,200,000 in the prior year; here, our volume decline was more than offset by favorable mix and disciplined cost management. Today, while Starlab does not generate revenue, during the quarter, Starlab continued to achieve NASA milestones, generating cash receipts of $10,000,000, highlighting the continued execution progress and momentum. It is noteworthy that in addition to NASA milestone cash receipts, we are also seeing very strong support of Starlab from high-quality investors as part of Starlab's Series A capital raise. Now turning to Slide 8 to recap our full-year performance. For the full year, net sales increased 15% year over year, a 33% year-over-year increase excluding the planned wind-down of the legacy NASA contract within Space Solutions. The growth here was led by Defense and National Security expanding 59% year over year. Adjusted EBITDA for the full year was a loss of $69,900,000 compared to a loss of $30,000,000 last year. Adjusted EPS was a loss of $2.05 compared to a loss of $5.72 in the prior year. Turning to Slide 9 for a review of our full-year segment performance. Defense and National Security net sales increased 59% year over year, while segment adjusted EBITDA was a loss of $4,500,000. Significant growth in Next Generation Interceptor and classified ISR programs were the main growth drivers here. Space Solutions net sales declined 36% year over year and, as I mentioned earlier, primarily due to the planned wind-down of a legacy NASA services contract. Segment adjusted, there was a slight loss of $800,000. Starlab achieved 11 milestones during 2025, and we have achieved 31 milestones program to date, with milestone-based cash receipts since inception of $183,000,000. As a reminder, this is part of our $218,000,000 NASA Commercial LEO Development Phase 1 award to support program development and execution in replacing the International Space Station. Wrapping up here, we are encouraged by the momentum across our businesses, and we are increasingly confident in our ability to execute our backlog, scale our business, and deliver long-term value through disciplined growth and strategic investment. Let us turn to Slide 10 and cover our financial position. As we execute our growth strategy, we continue to operate from a position of financial strength and flexibility. We ended the year with $491,000,000 in cash and access to $213,000,000 in credit facilities, resulting in total liquidity of well over $700,000,000. Our liquidity supports a disciplined, growth-oriented capital allocation strategy. We continue to execute our targeted priorities within and for acquisitions, particularly opportunities that enhance our vertical integration or add differentiated capabilities, all the while also funding organic investments to develop new technologies and to further scale our existing platform. Turning to Slide 11. We are raising our 2026 net sales guidance to a range of $225,000,000 to $255,000,000, representing 35% to 53% year-over-year growth, and a clear acceleration from 2025. This growth is driven by demand in Defense and National Security, including Golden Dome–aligned programs as well as contributions from other areas. With the wind-down of the NASA services contract behind us, we expect to see Space Solutions once again return to growth in 2026. In 2026, we are making investments directly linked to opportunities we are seeing across our markets. Investment and incremental growth are clearly connected. We are investing because demand is expanding and customers are pulling us into larger, multiyear mission-critical programs. Gross margin for the year is expected to be in the mid-teens, reflecting targeted investments in manufacturing capacity ahead of growth acceleration. Notably, internally funded research and development will increase to approximately 20% of net sales, advancing mission-critical capabilities aligned with customer priorities, including national defense initiatives such as the Golden Dome, all the while continuing to also innovate across our existing platforms. We expect modest SG&A leverage as revenue growth begins to absorb public company costs. In addition to innovation investments, capital expenditures excluding Starlab are expected to be approximately $60,000,000 to $70,000,000. Here, we are focused on scaling domestic energetics and munitions production, advanced electronics and propulsion capacity, as well as product line enhancements. Importantly, these investments are tied to programs where we have line of sight to growing demand. Starlab enters its full system development phase in 2026 and is expected to ramp investment levels, executing to plan. Starlab investments, including operating expenses, procurement, and capital expenditures, will continue to be supported by diversified funding sources, including NASA's CLD program, other government entities, domestic and international, as well as capital markets. 2026 is a pivotal year towards delivering on our long-term financial framework. To emphasize, we continue to target a 25% organic growth CAGR, gross margins in the range of 30% to 35%, resulting in mid-teens adjusted EBITDA margin excluding Starlab, and low-teens free cash flow margin, again excluding Starlab. Starlab, once in orbit, is expected to generate $4,000,000,000 of annual revenues and $1,500,000,000 of annual free cash flow, providing a significant value creation opportunity for shareholders. In summary, we continue to invest in growth to support accelerating demand for our mission-critical capabilities with a clear line of sight to scale, operating leverage, and cash generation as execution builds. This framework balances our near-term execution with durable long-term value. With that, I will turn it back over to Dylan.
Dylan Taylor: Thank you, Filipe. To wrap up on Slide 12, 2025 was a year marked by transformational execution for Voyager, backed by customer momentum and supported by a platform purpose-built for mission urgency and scale. We strengthened our foundation by entering the public markets, delivered strong growth, completed strategic acquisitions that deepen vertical integration, and advanced Starlab through major milestones. Each step expanded capability and reduced risk. The opportunities ahead across missile defense, national security, and commercial space are funded, measurable, and accelerating, and we are well positioned to convert that demand into sustained growth and long-term shareholder value. I am confident in our team, our strategy, and the strength of our technology stack as we execute in 2026 and beyond. Operator, we are now ready to take questions.
Operator: Thank you. The floor is now open for questions. In the interest of time, we ask that you please limit yourself to one and one follow-up. Thank you. Your first question comes from Ron Epstein with Bank of America. Please go ahead.
Ron Epstein: Yeah. Hey. Good morning, and thanks for all the detail on the call. Dylan, I was wondering if you could just go into some more detail on what really prompted the revenue guide and what you are feeling really comfortable about to do that.
Dylan Taylor: Well, I appreciate it, Ron. Good to hear from you. So a couple points I would make. First of all, it is a terrific environment for our products and services in general. Certainly, defense spending, as we know, is on the increase, but probably more importantly than that, structurally, the way the Department of War is procuring products and services is evolving, and it is really playing to our strengths. It is really leaning into the innovation side of things. Everything is being challenged in terms of legacy programs versus new advanced technologies, so that is playing directly into our strengths. It is a great environment: record pipeline, record backlog. And then if I dive deeper into the demand signals, it is really across the board. It is everything from our advanced electronics capability, which is really seminal to a lot of these programs. We are seeing the demand signal very strong in propulsion on multiple programs factoring into Golden Dome. The energetics business that we just acquired, we are seeing huge demand signals on that as well as the Department of War looks to replenish their stockpiles. And then I would say also on communications, sensing, and data processing, huge demand signals on that as well. So it is really across the board, and that is why we have the conviction, based upon the record pipeline and based upon the record backlog, to raise revenue guidance into the year.
Ron Epstein: And then maybe just as a follow-up to that. On Starlab, with a NASA administrator set and things seeming more stable on the top of NASA, when would you expect a down-select decision on the Starlab?
Dylan Taylor: Definitely this year, Ron. We still anticipate a down-select this year. To be more precise, it is difficult to say. We would anticipate the RFP is going to come out in the next 60 days or so, and basing that on language that was in the NASA authorization bill, which has passed committee. But if you figure roughly, I do not know, four to five months for selection once that RFP is out, then that would be late summer, early fall. But I would definitely anticipate selection within calendar year 2026.
Ron Epstein: Got it. Got it. Thank you very much. I will jump back in the queue.
Adi Padva: Thank you, Ron.
Operator: Your next question comes from the line of Myles Walton with Wolfe Research. Please go ahead.
Myles Walton: Thanks. Maybe, Filipe, you gave us a number of the moving pieces on the EBITDA walk. Could you maybe flesh that out if you want to get to sort of a range? And then relating to the higher CapEx, we have seen a lot of the missile providers find a way to get what are effectively advances, but basically higher milestone payments coincident with the CapEx expenditures to lessen the load on free cash flow. Could you touch on that as well?
Filipe de Sousa: Myles, I will take the first one and just ask you to repeat the second question for me. But from an EBITDA perspective, you are 100% right. We are guiding to an EBITDA loss in 2026. It should not come as a surprise. We continue to see tremendous opportunity to grow our business and invest in our business, so as part of that, we are accelerating a significant amount of our own internally funded research and development. We know that there is a strong signal for demand for our product, for innovative solutions that we already have and are contracted, and the next generation of those, and so we are going to continue to invest in growing our business. We see a strong signal, as Dylan mentioned earlier, from the marketplace that that is going to continue. It is not just a short-term duration, so we are going to continue to invest in our business here in 2026. Important too is as we start to scale and grow through the back half of this year, we anticipate still achieving our longer-term aspirations of being EBITDA positive exiting 2027 and being free cash flow positive in 2028. And so that is a really important element to make sure that investors and analysts alike understand. We are committed. In fact, if anything, we are infused with the increasing demand for our product and see opportunity to actually potentially achieve some of those targets earlier than we had previously anticipated despite investment here in 2026.
Dylan Taylor: Myles, just to touch on the second part of your question, if I understood it correctly. We are seeing tremendous demand on the propulsion missile defense side across multiple programs. So I think part of what I would want to communicate on that is in addition to Next Generation Interceptor, our technology is quite relevant to other programs, whether it is THAAD or PAC-3 or some of these others. And so two things are happening. One is our technology continues to be relevant to being specced in on those programs, and then the second part is the demand for the quantities under those programs are increasing, given the geopolitical circumstances in the world. And then touching on another part of your question, which is, is there nondilutive funding and/or milestone payments available for these programs? The answer to that is yes, and we are absolutely driving that and expect some additional detail and announcements on that as we roll forward into 2026. But right now, we are not communicating any of that quite yet; we are not in a position to do so. But you are absolutely right. There is a lot of nondilutive funding available to accelerate not only these programs, but the quantities on these programs. So we are very optimistic that that is going to be very beneficial as we look to scale our propulsion technology as well.
Myles Walton: Yep. Yeah, that was the question, Dylan. Thank you. And just one follow-up if I could. The Starlab percentage ownership at this point by Voyager, following the fundraising, where does that sit today?
Dylan Taylor: I believe we can get you an exact number, Myles, but I believe we are sitting at about 60%. Yeah. It is just north of 60%. I think it is 61% last time I checked, but we can get you a precise number.
Myles Walton: That is perfect. Thank you.
Dylan Taylor: Sure. Thanks, Myles.
Operator: Your next question comes from the line of Seth Seifman with JPMorgan. Please go ahead.
Rocco (for Seth Seifman): Good morning. This is Rocco on for Seth. Good morning. How should we think about growth in Defense and National Security next year? Should NGI remain the main growth driver, or are there other growth drivers that should be called out in 2026?
Dylan Taylor: Yeah, no, it is really across the board. So NGI for sure on the propulsion side of things, that is a big part of it. I wish I could give you more specificity on the Golden Dome in general, but there are a lot of programs associated with Golden Dome that are being specced in currently. Those award announcements have not been made public yet, but rest assured, our technology is quite relevant to those various programs, so stay tuned on that. And then as I mentioned earlier, in addition to the propulsion technology, we are seeing huge demand signal on the advanced electronics part of our business, which is really foundational to a lot of defense programs in general, and then the energetics side, as I mentioned, and then advanced communications and sensing. So a lot of our SIGINT, data processing, the SIS, mostly in the intelligence community and classified programs, we are seeing strong demand signals there as well. So yeah, it is really across the board, with an emphasis, I would say, on propulsion. Filipe, would you add anything to that?
Filipe de Sousa: Yeah, I certainly—well, one, I would want to remind everybody how diverse our Defense and National Security portfolio is today, especially with the strategic acquisitions of Exotera and Estes in the back half of last year. So to kind of reframe, certainly this past fourth quarter, NGI was a significant driver of our growth. NGI actually grew over 100% year over year in Q4. NGI was up about 100% year over year in the calendar year 2025. As we enter 2026, bear in mind about $200,000,000 of our backlog sits within Defense and National Security, and only about 25% of that is actually tied to NGI, which is fantastic. Program as a base, and we look forward to the scaling of that program as we move from design phase here in 2026 into low-rate production and high-rate production 2027, 2028 respectively. Just as a key reminder to investors, we are far more diversified than just Next Generation Interceptor, as important a program as it is to us.
Dylan Taylor: Yeah, and the final point I would make is, again, record backlog and that record backlog is based upon record pipeline. So we really like the visibility we are seeing and the demand drivers we are seeing. And, you know, as a management team, the way we think about value creation is build pipeline—that is why we are super excited about the record pipeline—make sure that we turn that into backlog, and, of course, we are at record backlog, which then transfers into revenue, EBITDA, and then cash flow. So the funnel, Rocco, is just tremendous, and we are super bullish about the demand signals that we are seeing.
Rocco (for Seth Seifman): Right. And digging into that funded backlog in Defense and National Security, it has more than doubled quarter over quarter. Should we think about the unannounced Golden Dome awards as being the primary driver there of the growth, or is there another program to call out?
Filipe de Sousa: Yeah, it is not included. It is not included. So think of this as things that have been announced, and things that have not been announced are not yet in those numbers. I go back to the initial question from Ron, asking us about the confidence in our visibility and our revenue guide for 2026. And, obviously, it starts with that record backlog position. But it is also—and I do not mean to sound overly enthusiastic; I am supposed to be the CFO, I am more of the realist here in the room—but we are tremendously excited by the pipeline and how that is going to crystallize for us over the course of not just the first half of this year, but as we extend out to the back half of the year. We know this administration is going to be heavy into upping the defense budget, the defense allocations, if you would, and clearly a lot of the onshoring demand that we are excited about is not reflected in this backlog. It is all in front of us in terms of order opportunity first into our 2026. We have to get through 2026 first, but as we look out to 2027, it will make for yet another acceleration in the growth profile for Voyager.
Rocco (for Seth Seifman): Great. Thank you.
Dylan Taylor: Thank you.
Operator: Your next question comes from the line of Justin Lang with Morgan Stanley. Please go ahead.
Justin Lang: Good morning. I am on for Christine today. Thanks for taking the questions. Appreciate all the detail at the top on the Estes. I was hoping you could provide a little more color on how that business factors into your 2026 outlook, how you think about synergy capture from here, and we have heard a lot about fragility within the missile propulsion supply base, so just curious if you could size the magnitude of investment required to build out capacity in that business? And then I have a follow-up. Thanks.
Dylan Taylor: Yeah, so I will take a stab at that, and I will pass it over to Filipe to talk about the cost portion. But yes, the energetics portion of our business is going to be increasingly strategic and critical. If you look at the value chain for propulsion and missile defense in general, but also factoring into things like munitions, which is another key focus of the administration, within that value chain, energetics is one of the key components not only from a value capture standpoint, but also as a critical supply chain input. And it is at the confluence of not only the fact that this is essential to make these systems work, but it is also at the confluence of the administration's priority for critical chemicals, which is the same strategic orientation that they had towards critical minerals like antimony and things like that. So that is a key focus. It also is at the confluence of onshoring. A lot of these energetics are currently not made in the U.S. So there are a few factors here. One is we can control more of the production inputs, which gives us more control over the supply chain, which ultimately gives us speed to market, which is what the customer is asking for. Furthermore, it allows us to build out this Voyager ADC, the American Defense Complex, which is relevant to all of our propulsion technologies. There is actually some CapEx offset with the Estes Energetics acquisition we made. We are able to use some of their facilities to offset some CapEx that we had anticipated with our TDAX technology, so we are super excited about that. And then the other thing, which is not in our numbers but we are still, I think, very optimistic about, is all of this is eligible for nondilutive funding from the government under this critical chemicals framework and onshoring framework. So I think that is another opportunity for value capture and CapEx offset. So when you think about this Voyager American Defense Complex and what it is supporting, it is not only supporting the energetics business, which is a critical input, it is setting us up for scale production for our entire propulsion technology suite. So think of this as a foundational investment that is going to lead to huge scaling and upside on the revenue side for propulsion more generally. So we are super excited about that. I think it is going to be ultimately a critical competitive advantage and moat that we are going to have that other providers are not going to have, and I think it is completely aligned with the administration's goals, stated goals, for these critical inputs as well. So with that, I will pass over to Filipe.
Filipe de Sousa: Yeah, good, and again, thanks for the question. So one thing I think I would really start by highlighting is as we have acquired these businesses, the first thing that Voyager looks to do is integrate the businesses into our portfolio. So do not think of these as a standalone operation going forward. We will quickly integrate them. As Dylan mentioned, it is not just Estes; it is Exotera, it is our former predecessor Valley Tech business. It is all really part of our strategic defense portfolio. And so Estes, along with Exotera, which does nothing but strengthen our vertical integration around propulsion, is tied to multiple growth drivers, including Golden Dome. Estes alone, from an energetics perspective, adds over a billion dollars of opportunity to our pipeline. So, again, back to the backlog, $266,000,000 entering the year, very little of that tied to energetics. The opportunity is all in front of us. We know the demand is real. The U.S. government continues to call for it. We highlight $60,000,000 to $70,000,000 of CapEx in 2026—of course, that is all excluding Starlab. A significant portion of that is going to be tied to the Voyager American Defense Complex. Again, it is not only specifically Estes or energetics related. It is also tied to propulsion, the broader propulsion portfolio, and supporting our grander Golden Dome growth drivers and initiatives.
Justin Lang: Got it. That is great color. And then sort of relatedly, just on Golden Dome specifically, as that opportunity set takes shape, just curious the signal you are getting from the customer; they are really stressing on industry sort of desktop front here and you are seeing maybe a pay-to-play type dynamic emerge? Any color there would be helpful.
Dylan Taylor: Yeah. Well, again, record pipeline. About $1,600,000,000 of our record pipeline is associated with Golden Dome opportunities. So we are super bullish on the opportunity that we see. In terms of the procurement strategy, which is really, I think, embedded in your question, we are seeing the customer in the Department of War looking for new ways to incentivize commercial providers to not only spec the technology they need, but to move faster to develop these systems. And, of course, that need is urgent. I think that plays to our strengths, because we are more maneuverable, more entrepreneurial, more flexible, more adaptable than certainly a lot of the legacy players in this space are. So we actually welcome this, I would say, creative procurement approach that the customer is asking for. And then, ultimately, keep in mind the technologies that we are putting into play into Golden Dome have already passed things like Critical Design Review on Next Generation Interceptor. So this is already proven technology. So even if it is a milestone-based contract, we have a lot of confidence that the tech is already going to work, as opposed to, let us say, developing systems that might have unproven technology being specced in. We could be more specific on the Golden Dome, but currently we are not able to talk specifically about the specifics of those contracts. But I would say, generally speaking, the customer is looking for new and innovative ways to procure that are disrupting the status quo approach.
Filipe de Sousa: I think, Dylan, if I could just double down and emphasize. So think of not just the CapEx, but the innovation investment that we have planned for here in 2026. It is extremely deliberate, and it is a deliberate investment ahead of growth, not ahead of opportunity. If we did not have line of sight to orders in our pipeline, line of sight to larger programs that are scaling in terms of moving from design phase into production phase, we would not be making these investments ahead of this growth. So it is just to reiterate our confidence in what that growth profile looks like. And of course, like Voyager has demonstrated in years past, being ahead of the curve, if you would, so not necessarily waiting for the opportunities to knock on our door. We are positioning ourselves to capture a great share of that market as it unveils and evolves.
Dylan Taylor: Yeah, and I just want to emphasize one thing. Our record backlog does not include the upside from the Golden Dome opportunities.
Justin Lang: Perfect. Thank you.
Operator: Your next question comes from the line of Greg Conrad with Jefferies. Please go ahead.
Greg Conrad: Good morning.
Dylan Taylor: Morning, Greg.
Adi Padva: Morning. So you spent a lot of time talking about the Defense and National Security side. If maybe we could talk about Space Solutions a little bit. I think you said now that some of the wind-down is behind them, you expect it to return to growth in 2026. What do you see as the biggest drivers of that, and any way to maybe quantify the growth expectations for Space?
Filipe de Sousa: Yes, so I will take that, Greg. Just a reminder: fourth quarter revenue down, entirely driven by the planned wind-down of the NASA low-margin services contracts. As we reset 2026, we see continued demand for mission management services on the ISS as it certainly continues to operate today, and think of that as the bridge to Starlab, which we are already seeing continuous demand for. And, in fact, we know it is our current mission management services customer relationships, managing things on the International Space Station today, that is leading to that overbooked commercial demand that we are seeing on Starlab already. So as we look out to 2026 and 2027, we continue to see low Earth orbit as a demand driver. Looking out even beyond, certainly the focus on lunar, and perhaps we can talk a little bit about the announcement we made today in that space and how that lends itself to that. I think that there is upside opportunity in Space Solutions. I look forward to seeing it return to growth in 2026, albeit modest relative to our Defense and National Security business, which is supported by a tremendous amount of backlog entering the year. But make no mistake, Space Solutions continues to be a growth driver and a growth focus for Voyager.
Dylan Taylor: Yeah, and I would just add, we are very bullish on Space Solutions. We have spent a lot of time talking about the defense side, but we also see great demand on the Space Solutions side. Just to reiterate our strategy there, we call it the three L's, which is LEO, Lunar, and Lagrange, Lagrange being a proxy for deep space. So we will have more to talk about on our Max Space investment probably on our next quarterly call because that is fresh. But think of us as focusing on the technologies that enable administration goals in all three of those domains—low Earth orbit, the lunar environment, and deep space. And so we have relevant technology already that applies to all three of those domains, and we are going to look to fund IRAD and/or make acquisitions and/or investments in technologies that are, again, going to address all three of those domains. And as Filipe pointed out, we see huge opportunity in lunar and the return to the moon with lunar infrastructure. And then, of course, a lot of our foundational mission management business is leading directly to these demand signals we are getting on Starlab, which is really positioning us well to capture the majority of the market share available in low Earth orbit. So we are feeling very bullish about that. One hundred percent of our commercial demand for Starlab is already reserved, which I think is a fantastic outcome given the fact that we will not be in orbit for another 36 months.
Greg Conrad: And then maybe just as a follow-up, that is a good transition to Starlab. Any way to maybe quantify some of the financial impact in 2026? I think most of the numbers you gave are ex-Starlab thinking about, you know, innovation, CapEx, and then it seems like some offset given you have sold out the payload capacity. How should we think about the free cash flow usage and any inflows tied to Starlab in 2026?
Filipe de Sousa: Okay. Okay. Yep. Yeah, Greg, I think it is really important to note in terms of planning cash flow around Starlab in 2026 is, one, I am driving a—think of it as a cash-neutral profile, meaning it is not just about free cash flow, but it is also about our successful fundraising for Starlab, and that is nondilutive capital as well as dilutive capital through our successful Series A for Starlab that has been ongoing. We anticipate, obviously, NASA to step in during the year as well. It is going to be also the other international space agencies. As we start to approach the latter part of the year, we will start to see some pre-advanced fundings come in from customers already. To that point, and I will highlight, I know we have talked a lot about our record backlog in the $266,000,000, but just to highlight and be fully transparent with everybody, there is actually $6,000,000 of backlog associated with Starlab, which is quarters ahead of when I would have expected to actually have hit. And so back to the growing demand, growing necessity for a low Earth orbit replacement for ISS, and Starlab is great positioned to do so. We feel great about that. From a financial perspective, Starlab is intended to be, if you would, cash neutral for the year. We do anticipate free cash flow to be a cash outflow that will be funded by both dilutive and nondilutive capital coming in during the year. I think that is the important piece to highlight. From a Voyager perspective, just to remind everybody, the JV structure actually reduces Voyager's capital exposure to Starlab. Our diversified funding within Starlab itself limits Voyager's capital burden, and again, just to highlight the early demand visibility and the diversified customer base we see for Starlab gives us tremendous excitement as we look out to later in 2026 and certainly 2027 as we start to move from design into actually constructing the new station.
Greg Conrad: Thank you.
Filipe de Sousa: You bet. Thank you.
Operator: Your next question comes from the line of Michael Leshock with KeyBanc Capital Markets. Please go ahead.
Michael Leshock: Hey, good morning. I wanted to ask on the government shutdown and what you are expecting from the catch-up there to how that plays out in 2026. Is there one quarter that might see the biggest benefit, or is that relatively consistent as the year progresses? And then on the NGI program, can you provide any color on next milestones or key watch points for NGI to hit its target for LRIP in late 2026? Is there any facility or capacity expansions that are needed to hit your target and drive the strong growth that you are seeing there?
Filipe de Sousa: I can take that as well. And good morning, Michael. Thanks for making the call. The government shutdown had a minor, relatively small impact that is actually in the fourth quarter. We probably would have had even bigger backlog, even more orders to report in Q4 if not for the prolonged government shutdown. So as excited as we are about total record backlog of $266,000,000, that would have been higher. So I look forward to Q1, and certainly Q2, being perhaps a little bit higher in terms of orders than historically speaking we would have seen. From a revenue perspective, that delay in the fourth quarter probably means our first quarter will be a bit muted from an actual revenue crystallization perspective, and so we would anticipate revenue to accelerate through the year in 2026. But the government shutdown, for what it is worth, does not necessarily impact Voyager that significantly. The underlying demand drivers here, these national security growth drivers, are not temporary. Obviously, with the geopolitical environment that we are in today—last quarter we were talking about the impact potentially of the prolonged impact of the Ukraine war with Russia, now we have the Iran conflict, etcetera—if anything, these things are just depleting our national security resources, and Voyager is well positioned to replenish that. And it is not going to be a six- or twelve-month resupply mission. This is going to be a multiyear growth support driver for Voyager.
Dylan Taylor: Yeah, the only other thing I would say is that, given the fact that we were shut down for half of the fourth quarter, call it 90 days, the fact that we essentially hit our revenue target, I think, is a very good fact, and I think shows not only the resilience of the diversification of the business, and again, exiting the year with record backlog, record pipeline, raising revenue guidance, all on the heels of a prolonged government shutdown, I think, is a very good fact.
Filipe de Sousa: As for NGI, we work very closely, obviously, with the prime, Lockheed Martin. Just case in point, we have continued to stay on time and stay on schedule from our perspective irrespective of other potential supply chain issues. Ultimately, we will take that final order through a full low-rate production from the customer when it is ready. We do anticipate those orders to come in the second half of this year as we move into low-rate production next year. As far as the manufacturing capacity and investment, to be clear, we are investing in the Voyager American Defense Complex ahead of demand for Golden Dome opportunities in excess of, or incremental to, Next Generation Interceptor. We know that those opportunities are real. We are working very closely with other primes, not named Lockheed Martin, as an example, on various initiatives and various programs, and so that is the reason why we are making that investment. That said, we are well positioned as we scale on NGI when Lockheed is good and ready.
Michael Leshock: Great. Thank you.
Adi Padva: Thanks, Michael.
Operator: Your next question comes from the line of Sam Brandes with Wedbush Securities. Please go ahead.
Sam Brandes: Hi, everybody. I am on for Dan. Looking ahead to 2026, can you walk us through the two or three most critical growth drivers or milestones—whether contract awards, Starlab development targets, program execution gates—that you would point to as the clearest proof points that Voyager's long-term thesis is well on track?
Dylan Taylor: Well, we have a lot more than three. I will try to pick the biggest three. I think a few things. One is continued delivery of our propulsion technology on programs like NGI, but I would say more specific to that would be being announced on additional programs of record, including Golden Dome programs and including legacy programs of record. I think evidence that we can hopefully talk about in the public domain here in the near term that would show that we are getting traction on additional programs, I think, would be a key indicator and validation point, and that would be—in addition to the record backlog that we have already talked about—this is all incremental. So I think that is one thing. A second key thing would be our ability to scale our production capacity, because that is really what is going to set us up for a remarkable 2027–2028, both from a revenue growth perspective, but also from an operating leverage, EBITDA, free cash flow, all the things that we anticipate. And then the third thing I would say, which is relevant, is the successful outcome of CLD Phase 2, which, of course, is the space station selection by NASA, and we anticipate that selection to happen within calendar year 2026. And we feel very good about our strategic position there. And then just to emphasize, we have ample liquidity—lots of dry powder on the balance sheet. We are seeing huge opportunities not only for internal investment to drive growth, but also still on the acquisition side as well. So those would be three pillars that I would put out there, and we have a lot more than just those three, but I think those are three to keep an eye on.
Sam Brandes: Great. Thank you. And you guys made five acquisitions in 2025. Where do you think are the remaining capability gaps in the portfolio? And when do you think the strategy shifts from capability filling to driving scale as the company further matures?
Dylan Taylor: Thank you. I think we have already made the pivot or shift to that second part. We are in scale mode for sure. I think on the capability side, there are a few areas that we are still interested in exploring. Anything in power and propulsion—we are going to continue to look at the value chain there. How do we go faster? How do we scale capability and production availability? We will also be responsive to the needs of the customer as we have been with this critical chemicals and onshoring initiative that we talked about. On space exploration, I think the lunar environment is something that we are really keen on. There is a huge opportunity there with NASA's focus on going back to the moon and going back to the moon to stay, and we are very well positioned with our technology to be a major player in that domain as well. So I think those are two key areas. And then I think our acquisition pipeline is quite robust, and we are seeing a lot of opportunities there. I think one way to think about this might be geographic expansion as well that would lead to other customers around the world that would be non-U.S. based. I think that is a huge growth opportunity for the company. Nothing imminent there, but I think that is another area that we can scale our business. So those are some thoughts, and, yeah, happy to dive deeper with you on any of those points.
Dylan Taylor: Thank you.
Operator: Mr. Padva, I would like to turn the conference back over to you.
Adi Padva: Thank you very much. We will now take a couple of questions from Fei Technology. First one: As Voyager seeks to grow content in missile programs, how should we think about the incremental investment required to supply programs like PAC-3 or others which have higher production rates relative to Next Generation Interceptor?
Dylan Taylor: Yeah. Well, thank you for the question. I really appreciate that. So a couple ways to think about this. Our Voyager American Defense Complex—we are building that out in anticipation not only of addressing the record pipeline that we have, but scaling from there. So this would be existing programs of record, missile defense programs of record like PAC-3, like THAAD, like Trident, like others, but in addition to that, opportunities on things like Golden Dome, which have not been announced publicly yet. So think of the American Defense Complex as setting the table for us to take advantage of all these demand signals that we are seeing, and we are confident with the investment that we are planning in 2026 for the Voyager ADC. We will not have additional incremental investment in order to capture these large pipeline and backlog opportunities that we see, so we feel very good about that.
Adi Padva: The next question: Given that NASA is expected to award the CLD Phase 2 later this year, what is Voyager's strategy in case NASA further delays the Phase 2 selection to 2027, for example? And do you have any other financing to maintain the 2029 launch schedule without the federal funding?
Dylan Taylor: Yes. Well, we do not anticipate a delay outside of calendar year 2026. There was a NASA authorization bill that just cleared the Senate Commerce Committee here recently, and it specifically says the RFP is within 60 days, so I do not anticipate the RFP pushing in or the selection pushing into 2027. The other thing about the Starlab joint venture model is it is fantastic from a Voyager perspective because there is a lot of capital flexibility in that model. So the cost structure itself—well, first of all, the JV is actually raising third-party capital into the JV, so that is one key point. But the second key point is the way the joint venture is set up is a lot of the cost structure is in procurement and integration, and those things can be modulated, and the time that those costs are spent can be chosen at our option, as opposed to, let us say, some of the competitors have very, very, very heavy run-rate cost structure, and if there is a delay in procurement on their side, their cash burn is extremely high. Our model is different, and that gives us much more capital flexibility in our approach.
Adi Padva: This concludes our questions. I will hand it back to Dylan for closing remarks.
Dylan Taylor: Well, thank you, everybody. We are super excited about our 2025, the record backlog that we have going into 2026, the growth opportunities we see in the company throughout all of our growth vectors, including power and propulsion, energetics, space solutions, Starlab, and the like. So with that, I want to thank everybody for joining the call. Thanks for your interest in Voyager Technologies, Inc., and we look forward to speaking with you after we wrap up Q1. Thank you.
Operator: Thank you. This concludes today's Voyager Technologies, Inc. fourth quarter and full year 2025 financial results conference call. Please disconnect your lines at this time and have a wonderful day.